Stanley Elliott: welcome to the Q4 2024 UFP Industries, Inc. Earnings Conference Call and Webcast. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question and answer session. To ask a question during this session, you will need to press star one one on your telephone. You will then hear an automated message advising your hand is raised. To withdraw your question, press star one one again. Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker, Mr. Stanley Elliott, Director of Investor Relations. Please go ahead.
Stanley Elliott: Good morning, everyone, and thank you for joining us to discuss our fourth quarter and full year 2024 results. Joining me today on the call are Matt Missad, our Executive Chairman of the Board, Will Schwartz, our Chief Executive Officer, and Mike Cole, our Chief Financial Officer. This conference call is available simultaneously to all interested investors and news media through the Investor Relations section of our website ufpi.com. A replay of the call will be posted to our website as well. Before I turn the call over, let me remind you that today's press release and presentation include forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. These statements are subject to risks and uncertainties that could cause actual results to differ materially from expectations. These risks and uncertainties also include, but are not limited to, those factors identified in the press release and in the company's filings with the Securities and Exchange Commission. I will now turn the call over to Matt.
Matt Missad: Thank you, Stanley, and good morning, everyone. We appreciate you joining us for our fourth quarter and year-end 2024 call. In recognition of basketball season, this morning's call will feature a three-man weave. I will give a brief overview of Q4, then I will pass the ball to our new CEO, Will Schwartz, who will talk about our markets and plans for 2025 and beyond. Will will pass to Mike Cole for a more detailed financial discussion before we open the line for questions. The fourth quarter of 2024 saw a similar declining sequential demand trend in most areas of our business. This continued weak demand decreased operating efficiency and increased competitive pressure. Both of these factors compressed operating profits. In response to these trends, our leadership team has been executing the cost reductions and facility reductions we outlined in Q4. They are also identifying and planning for additional cost containment and prioritization of projects and administrative initiatives to ensure that those that are not mandated by regulations or higher risk factors are implemented based on the highest return to the company. And in spite of these challenges, the team finished 2024 with sales of $6.7 billion and EBITDA of $682.3 million, a 10.3% EBITDA margin. More importantly, the balance sheet is exceptionally strong with nearly $1.2 billion in cash and an equivalent amount of debt capacity. This liquidity positions the company to aggressively pursue its growth strategy as well as to take advantage of more reasonably priced M&A opportunities should they arise. It also allows us to continue returning capital to shareholders in the form of cash dividends and share repurchases. Our teammates are not happy with the overall performance, which they feel personally in the decline in their incentive compensation. This, however, is consistent with our philosophy to reward our team when business is great, and to share the pain when it is not. Obviously, we are all highly motivated to improve the results and drive shareholder value to new heights. As you can imagine, our leadership team, like Queen and David Bowie, feels the pressure coming down on them. Fortunately, I have seen them under pressure and I am very confident that Will and the team, whose veins are like ice ice, baby, will succeed in spite of the pressure. Now I'll turn it over to Will Schwartz.
Will Schwartz: Thank you, Matt, for the kind words. Good morning, everyone, and thank you for joining us on our fourth quarter earnings call. I'd like to start by saying that I couldn't be more honored and proud to be entrusted with the CEO role. UFP has an incredibly rich history, having celebrated our 70th anniversary earlier this month. I look forward to shaping this next chapter. I also want to thank Matt for his truly remarkable career and the impact he's had on transforming UFP over his 39 years with the company and 13 plus years as CEO. I am indebted to him for his leadership, mentorship, friendship, and support, as well as the support of our board and over 15,000 plus employees across the globe. I couldn't be more excited about the opportunities that exist in each of our business units. We entered 2024 somewhat cautiously, expecting total unit sales would range from slightly positive to slightly negative for the year. That framework largely played out. Fourth quarter unit sales were relatively unchanged in the quarter with 2% growth in construction and 1% growth in international operations and flat sales in our retail segment. Unit sales declined 1% for the full year. 2024 proved to be more challenging than initially expected, more so on the pricing side, and we felt these challenges primarily across our packaging and construction businesses. With the exception of PalletOne and factory built, conditions in the second half of the year took a step down where broad-based pricing pressures, commodity deflation, and negative manufacturing variances and product mix impacted our profitability. As we mentioned over the past few quarters, customer demand continues to be mixed. However, our broad-based portfolio has allowed us to dampen some of the end market volatility. While down from 2023 levels, 2024 EBITDA margin is 300 basis points higher than 2019 levels. This portfolio of products can and will deliver better results, and we are actively addressing items under our control. Looking ahead, driving profitable growth will remain a key part of our overall strategy. We have identified runways across each of our business units that meet our high return threshold and continue to act on both inorganic and organic opportunities. We are going to be aggressive in gross sales, but we are going to grow the right sales. Our M&A team remains extremely active, and our acquisition pipelines are healthy. The valuation gap we've seen over the past several years between buyers and sellers has narrowed. However, we remain disciplined on what we're willing to pay. Earlier in January, we announced the acquisition of C&L Wood Products, a leading manufacturer of wood pallets in Alabama. We are excited to welcome C&L into the UFP family. C&L will operate as part of UFP Packaging's PalletOne business unit. Expanding into new geographies or expanding our product offerings or both are key criteria when identifying acquisition targets across all of our business units. We prefer M&A to greenfield expansion in most cases. But that being said, we have identified a number of greenfield opportunities as part of the $1 billion multiyear capital plan mentioned on previous calls. We are investing heavily in automation, technology, new product development, and capacity expansion that will leave us better positioned to create shareholder value. The strength of our balance sheet has allowed us to deploy growth capital across our highest growth and highest margin opportunities. We can do this while maintaining our conservative financial structure, which we believe positions us well to navigate through all phases of an economic cycle. New product sales for 2024 came in at $505 million, and 7.6% of sales. We continue to strive for and see a pathway for new products to become 10% of sales over time. I am extremely pleased with the momentum we are seeing across the portfolio and believe our current product pipeline is one of the strongest in our company's history. We will showcase some of these products at the IBS trade show in Las Vegas next week, where we will introduce new products and new applications featuring our proprietary mineral-based ShearStone technology. One product that we are particularly excited about is our new Summit decking board, designed and engineered utilizing our ShearStone technology but at a price point to target the DIY and small contractor markets. This product will become available through both independent and big box retailers over the course of 2025 as we continue to expand distribution and manufacturing capacities. We will support the launch with a marketing campaign designed to help drive brand awareness for decorators and the value behind this proprietary technology. Meeting our internal return on capital targets drives all of our business decisions. We remain keenly focused on the cost side of our business. In 2024, we closed underperforming operations and other less strategic locations as we look to balance our costs with the current business environment. We will continue to evaluate the entirety of our portfolio and explore strategic alternatives for products and assets that fall short of our profit thresholds. Across the portfolio, we continue to identify opportunities to reduce cost and become more efficient. From purchasing and manufacturing to sales, marketing, and transportation, we will pursue actions that drive a better bottom line performance. We've already identified $60 million of structural cost savings from cost and capacity reductions, and these efforts are ongoing. At the same time, we will not stop making strategic investments to develop our growth runways, which we believe will enhance our product mix and improve our return to shareholders. These investments include expanding capacity in new and value-added product manufacturing, expanding our core, higher margin products geographically, and improving efficiencies and throughput while lowering cost through automation. Turning quickly to the segments. Retail. Our product strategy is to grow applications on the exterior of the home and in the yard while also adding new applications inside the home. I previously mentioned new products expanding our position in the composite decking space where there is a cautious optimism around the spring building season. Prowood continues to identify cost out and facility consolidation opportunities while investing in its go-to-market strategies. In construction, our site build business continues to normalize following years of robust demand. Our factory build operations continue to capitalize on favorable industry conditions and our strong market position to drive share gains during the year. We took aggressive cost actions in our commercial business, and we anticipate improved financial results going forward. Concrete forming continues to position its business to more front-end design and value-added solutions. We think our value proposition will become even more apparent should construction labor see any volatility resulting from recent policy decisions. Packaging, Organic sales declines in our structural and protective packaging more than offset growth in our highly automated PalletOne business. Pricing remains competitive, more of a function of end markets. Material costs are generally stable. Turning to our outlook. We expect the business conditions that impacted our 2024 results will carry over through the first half of 2025. Existing home sales remain depressed. Home equity levels remain at record levels, and housing affordability remains a challenge. Industry forecasts remain mixed as well, with housing starts estimates for 2025 ranging from slightly down to slightly up for the year. R&R forecasts are also showing a lack of true consensus, with headwinds expected to continue in the first half of the year before returning to growth in the back half. This outlook is further clouded by recent news around tariffs on Canadian lumber. While the industry imports less than 20% of lumber from Canada, any movement in the commodity creates inflation and domestic pricing pressure. While the 25% tariff on Canadian lumber has been paused for 30 days, the situation remains fluid. Regardless of the outcome, we remain confident in our ability to navigate any potential pricing resulting from tariffs with our balanced portfolio and purchasing strategies. Historically, softer patches in the economy have allowed UFP to utilize our strong financial position and generally lower cost manufacturing position to gain share in the marketplace. All of this uncertainty is contributing to a lack of visibility beyond the first half of 2025. We expect modest unit declines across each business unit on the aggregate through the first half of the year. We do expect commodity deflation to be less of a headwind to margins in the coming year given recent trends in the lumber market. Longer term, we are well positioned to take advantage of favorable demographic trends and an underbuilt housing market. We plan to take market share as well. A hallmark of this company is that everything we do from the boardroom down to the shop floor is driven by a returns-focused approach, and that will not change. We will manage through this uncertainty and emerge a leaner, more nimble, and more profitable company. At this point, I will pass to our CFO, Mike Cole, to discuss the financials.
Mike Cole: Thank you, Will. Our consolidated results this quarter include a 4% decline in sales to $1.46 billion, driven by a 4% reduction in selling prices while unit sales were flat. The decline in selling prices primarily resulted from weaker demand, which led to more competitive pricing in our packaging and construction segments. This headwind resulted in a 28% decline in our adjusted EBITDA to $133 million, and our adjusted EBITDA margin fell to 9.1%. While volumes and margins are seasonally lower in Q4, persisting competitive pricing pressured margins more than typical trends. Importantly, we were able to deliver an adjusted EBITDA margin for the year of 10.3%, well above historical levels in spite of demand and pricing challenges throughout the year. Similarly, our return on invested capital was resilient at 18.3%, which is almost two times our weighted average cost of capital and well above historical levels, highlighting the strong returns our business can achieve even when faced with more challenging market conditions. We continue to generate strong operating cash flows, which totaled $643 million for the year, and our balance sheet continues to gain strength with a cash surplus that's grown to almost $1.2 billion, providing us with ample flexibility to pursue our financial and strategic objectives as we move into 2025 and beyond. Moving on to our segments. Sales in our retail segment were $525 million, flat compared with last year, consisting of a 1% decline due to transfers of certain product sales to the packaging segment offset by a 1% increase in unit sales. The unit increase was comprised of a 3% increase in volume with Big Box customers, while our volume with independent retailers declined by 7%. By business unit, we experienced a 1% unit increase in Prowood, offset by a 2% decline in Edge and a 4% decline in Decorators. Within Decorators, our decking sales increased 20%, driven by our ShearStone decking product, which increased 43%. ShearStone, which comprised 55% of our total composite decking sales this quarter, will continue to benefit from our efforts to expand distribution, bring on new capacity, and increase our marketing efforts. Our year-over-year gross profits and gross margins in retail improved primarily due to favorable changes in our Prowood product mix due to SKU rationalization and the sustained impact of operating improvements we've discussed throughout the year. Operating profits in retail improved by $7 million as a result of the improvement in gross profit and a $6 million decline in SG&A, as a result of lower compensation costs and bonuses, offset by an increase in additional ShearStone advertising costs. Moving on to packaging. Sales in this segment dropped 9% to $375 million, consisting of an 8% decline in selling prices and a 2% decrease in units, partially offset by a 1% increase as a result of the transfer of certain sales from retail. Customer demand in this segment remains soft, and that's contributed to a more competitive pricing environment as we execute our strategy to gain market share. We also had an unfavorable change in product mix this quarter, as our largest and most profitable business unit, structural packaging, experienced the greatest decline in volume. As a result of these factors, year-over-year gross profits dropped by $21 million for the quarter, and gross margin dropped by 360 basis points. Operating profits in the Packaging segment declined by $23 million to a total of $20 million for the quarter due to the decrease in gross profits and $5 million of impairment charges associated with plant closures and capacity reductions reflected as a separate line item in the income statement below SG&A. Year-over-year SG&A expenses declined by only $4 million for the quarter in the packaging segment. However, it's important to note that prior year SG&A included a $5 million adjustment and a $3 million adjustment to reduce an earn-out liability. Excluding these amounts, SG&A declined by $12 million year-over-year, primarily due to lower bonus and bad debt expense. Turning to construction, sales in this segment decreased 5% to $487 million, as a 7% decline in selling prices was partially offset by a 2% increase in units. The increase in volume was due to our factory built and concrete forming business units. These increases were partially offset by declines in our site build and commercial units due to weaker demand. The 19% volume increase in our factory built unit was due to an increase in industry production and market share gains. The increase in concrete forming was due to market share gains. Selling prices fell in each of our business units, with the greatest impact in our site built unit. Gross profit decreased by $33 million year-over-year, with gross margin down 560 basis points, driven by the decline in selling prices and a less favorable product mix as site built comprised a lower percentage of our overall sales. When combined with an $11 million decrease in our SG&A due to lower bonus expense, our operating profits declined by $22 million to a total of $36 million for the quarter. As we manage through this cycle, we're mindful of our cost structure and working to find the right balance of making sure the company is appropriately sized relative to demand while still investing in the resources needed to achieve our long-term objectives for growth, product innovation, building brand awareness, and improving our efficiency through technology. Our consolidated SG&A expenses declined $15 million for the quarter due to a $24 million decrease in bonus expense. The remaining increase resulted from prior year adjustments totaling $8 million that I mentioned earlier to reduce annual accrued sales incentives and an earn-out liability. Additionally, current year increases include $3 million for Decorators admin advertising and $2 million for severances. Looking forward, we've targeted an annual run rate of EBITDA improvements from cost and capacity reductions of $60 million in 2026. Our plan for SG&A expenses next year, excluding highly variable sales and bonus incentives tied to profitability, is $565 million. This is flat when compared with 2024 and is comprised of $26 million of anticipated cost reductions, offset by $6 million of planned increases primarily associated with new greenfield operations, technology improvements, and product innovation, and a $20 million increase in our Decorators advertising spend as we invest in building the ShearStone brand. In addition to the SG&A cost reductions, we've taken actions to reduce or eliminate capacity of locations that are not meeting our profitability targets. We anticipate these actions will have a favorable impact on gross profits totaling approximately $15 million in 2025. Based on the actions we've taken to date and opportunities for continued improvement, we're optimistic we will achieve our 2026 goal. Moving on to our cash flow statement. Our operating cash flow is nearly $643 million. Last year, our operating cash flow of $960 million was elevated and included a $288 million reduction in net working capital as we adjusted to reduce our inventories from the peak demand of the pandemic. Our investing activities included $232 million in capital expenditures, comprising $124 million in maintenance CapEx, and $108 million of expansionary CapEx. As a reminder, our expansionary investments are primarily focused on three key areas: expanding our capacity to manufacture new and value-added products, geographic expansion in core higher margin businesses, and achieving efficiencies through automation. Investing activities also included the acquisition of C&L Wood Products, a manufacturer of machine-built pallets located in Hartselle, Alabama. This fills a geographic gap for our PalletOne business unit. Finally, our financing activities primarily consisted of returning capital to shareholders through almost $81 million of dividends and $159 million of share repurchases. For the year, we repurchased approximately 1.4 million shares at an average price of less than $114. Turning to our capital structure and resources, we continue to have a strong balance sheet with nearly $1.2 billion in surplus cash, while our total liquidity has grown to $2.5 billion. Our liquidity includes cash and amounts available to borrow under our long-term lending agreements. With respect to capital allocation, we plan to continue to pursue a balanced and return-driven approach. As we've discussed in the past, our highest priority for capital allocation is to drive organic and inorganic growth that results in higher margins and returns. Our strategy also includes growing our dividends in line with our long-term earnings growth and repurchasing our stock to offset dilution from share-based compensation plans. We'll continue to opportunistically buy back more stock when we believe it's trading at a discounted valuation. With these points in mind, our board approved a quarterly dividend of $0.35 a share to be paid in December, representing a 6% increase from the rate paid a year ago. Last July, our board approved another $200 million share repurchase authorization that expires at the end of July 2025. We've repurchased over 93,000 shares at an average price under $112 under this new authorization. With regard to capital expenditures, last year, we indicated we plan to increase our investments to an estimated range of $250 million to $300 million in 2024, to capitalize on the automation and higher margin growth opportunities we see in each of our segments. Our capital expenditures this year totaled $232 million, which was below our target as a result of longer lead times for equipment and the time needed for site selection in the case of investments in new locations. Projects approved in 2024 that will be completed in 2025 are expected to total $143 million. In addition, we currently plan to approve new capital expenditure projects in 2025 totaling approximately $350 million. Finally, we continue to pursue a pipeline of M&A opportunities that are a strong strategic fit while providing higher margin return and growth potential. As we pursue these opportunities, we will remain disciplined on valuation. I'll finish up with comments about our outlook for the first half of the year. We anticipate demand will be slightly down in each of our segments during the period. We believe this soft demand environment will also continue to result in more competitive pricing. Each of these factors should make for more challenging year-over-year unit sales and profit comparisons in the first half of the year. While some market indicators relevant to our business suggest conditions may improve from the first half of the year to the back half, we continue to approach the year with a sense of caution. With this uncertainty, we'll focus on things in our control to manage through these more challenging conditions in the short term: reducing costs, eliminating excess capacity, and divesting underperforming assets, while positioning ourselves for eventual improvements in market demand and executing our strategies to drive long-term growth and margin improvement. With that, we'll open it up for questions.
Operator: Thank you. To withdraw your question, please press star one one again. And our first question will come from the line of Kurt Yinger with D.A. Davidson. Your line is open.
Kurt Yinger: Great. Good morning, Kirk. Good morning, everyone.
Matt Missad: Morning.
Kurt Yinger: Just wanted to start off with Decorators and was hoping you could maybe level set us around any shelf space changes at the big box level and kind of the expected impact on growth here in 2025, as well as maybe more so initiatives on the pro side, including any strategies to maybe expand distribution.
Will Schwartz: Yeah. That's a really good question. Certainly, one that we're extremely excited about. You've heard a lot about the ShearStone technology, and we will have placement in a big way. That product is currently making its way to the big box in the second half of the year. It should be in a big way in 1,500 plus stores. We continue to build on our capacities through the CapEx investments that we've talked about and are excited. So you'll see that really in the second half of the year come into play.
Kurt Yinger: Got it. Okay. That makes sense. And then just on the kind of the pressure versus the prior year, how much of that is really attributable to mix and factory built, the strength there versus site built? And then within site built specifically, is that mainly an unabsorbed fixed cost dynamic, or how would you kind of describe the competitive dynamics there and gross margins you're bidding today versus the last couple quarters?
Mike Cole: Yeah, sure. So your first question about kind of the price decline we've seen in mix related versus just pricing declines, it's hard to break that out, Kurt, without giving you additional insights into the margins for each business unit, which, as you know, we're reluctant to do. I would say there have been, if I just kind of stayed at a high level, the pricing declines within site built were very significant. We expect those to continue sequentially into the first half of the year. We don't feel like those are getting worse. But the mix impact is also significant. If I get into the details there a little bit, factory build carries a much different gross margin structure and operating margin than the site built period. The site built business unit is our highest gross margin and highest operating margin business. So that is a prominent impact too. And sorry, I can't break it down further for you.
Kurt Yinger: No worries. Suspect that mixed sequentially too, I should say. We expect that mix impact to continue into the first half of year two with site built being down more than the manufactured housing group.
Kurt Yinger: Got it. Okay. And then I know you talked about kind of flat core SG&A 2025 versus 2024. It sounded like that kind of bonus expense component was a pretty meaningful tailwind in here in Q4, and I know there's a lot of different factors that play into that. But I guess from a consolidated SG&A standpoint, directionally, would you think that would be flattish as well or any kind of specific bonus elements we should be aware of going into next year?
Mike Cole: Yeah. You know, the kind of the core SG&A, the number I kind of guided to, the $565 million, that's a number that if you look at future quarters, you know, that's a pretty fixed number from quarter to quarter. Q4 is generally a little bit lower than the other quarters. When you get into bonus and sales incentives, I think the metrics we've given you in the past are still good metrics. Bonus expense now I would say maybe 16%, 17% of pre-bonus operating profit, that rate's a little bit lower at the return on investment tier level we're at now. Sales incentives are still pretty well locked in at about 5% of gross profit. So if you use the $565 million and kind of spread it the way I'm suggesting and use those variable elements for bonus and sales incentive, should get to a pretty good SG&A for the year. Just depends on how, you know, how profitability and gross profit looks throughout 2025.
Kurt Yinger: Okay. Perfect. Appreciate the call. I'll send it over. Thank you.
Matt Missad: Thanks, Rick.
Operator: Thank you. One moment for our next question. And that will come from the line of Ketan Mamtora with BMO Capital Markets. Your line is open.
Ketan Mamtora: Good morning, and thanks for taking my question. Maybe to start with, on the packaging side, can you talk about what trends you are seeing both from a demand standpoint and pricing competitive dynamics? Are you seeing signs of stabilization, or are we still seeing those pressures continue?
Will Schwartz: It's a really good question. Certainly, from our perspective, it continues to be pressure. The takeaway in the market is down, as we've expressed, and we continue to expect that to happen for at least the first half of the year. We believe we've reached kind of a bottom when you come to pricing. But we also don't expect to see pricing increases until we see some more demand and a more robust takeaway. So hope that kind of gives you what you're looking for there.
Ketan Mamtora: Yep. That's helpful. So is it fair to say, well, my husband was pressured to...
Mike Cole: Yeah. Maybe I'll add on too, Ketan. There is a mix impact as well. The PalletOne group has performed better from a unit sales standpoint, taking a lot of share. The margin structure there is quite a bit different than on the structural packaging side. Do expect that to continue on sequentially as well, but I just don't want you to lose sight of the mix there as well.
Ketan Mamtora: Got it. No. That's helpful. And then turning to the CapEx program, Mike, can you remind us out of that $1 billion, how much have you already kind of spent in 2024? And as we think about this year, how much is towards that $1 billion program?
Mike Cole: Yeah. The $1 billion program is largely intact. We went through our five-year planning cycle, just completed a year recently, and those numbers are still robust for future investment. Of that billion last year, we did say that we would approve somewhere in the neighborhood of $300 million. And we approved, actually, $330 million. We just didn't get much of a spend this year as through the CapEx line, maybe as much as you would have expected because so much of that relates to equipment purchases that have long lead times because of the sophistication of them and then but also greenfields. The time it takes for site selection and close on greenfield locations is much longer. So I had referenced a carryover CapEx number of well over $100 million. I think it was $140 million into next year, and that's part of the reason why it's just the time it takes to get to closure on some of those projects. This year, we have another $350 million that we expect to go through that approval cycle with, and it kind of fits into all those categories we had talked about before, you know, very robust decorator spend. Really each of the business units in the packaging segment has a robust plan. And the site built business unit stands out within the construction segment. Really all of our highest margin businesses.
Will Schwartz: You know, the only thing I would add in is really that's a commitment to deploying that capital. And that $1 billion was really based around the inability for the M&A side based on pricing. You could see a pricing environment change on the M&A side that could affect that number. But deployment of capital doesn't change.
Ketan Mamtora: Got it. And then just one last one from me. As we think about sort of incrementals and decrementals in packaging and construction, as you've made some of the footprint changes, rationalization on sort of the cost side, what do you think is the right way to think about it now?
Mike Cole: Yeah. You know, Ketan, I think when I think about the times when we've guided to incremental and decremental in the past, and there hasn't been robust changes in pricing, you know, up or down. And I think those incremental and decrementals are largely intact. I look at the construction side and the packaging side as kind of being more around that 20% range. Retail will be changing with the growth of decorators. That's probably more in the 15% range now with Prowood being as prominent as it is. So I think those are pretty good percentages to use going forward. Because I don't see the pricing being as big an element of change. It's really more volume related, I think, at this point. The one caveat to that though is mix. You know, mix is a big factor. And so if you get mixed changes, that could result in changes in those estimates.
Ketan Mamtora: Got it. That's very helpful. I'll turn it over. Good luck.
Mike Cole: Thank you. Thank you.
Operator: Thank you. One moment for our next question. And that will come from the line of Reuben Garner with Benchmark. Your line is open.
Reuben Garner: Thank you. Hi, Reuben.
Will Schwartz: Hi, Reuben.
Reuben Garner: I have kind of an interesting question or potential opportunity on the lumber side. With the tariff situation, do you guys use very much Southern Yellow Pine in some of your markets like site build? Is there an opportunity to kind of increase the penetration there as a lower-cost wood source that might help offset some of the pricing and margin pressure, or is that just not something that... I know historically in certain geographical markets, it's not been possible. But we've heard it's been increasing of late. Are you guys seeing that in any chance to kind of accelerate it?
Will Schwartz: Yeah. That's a really good question, Reuben. And, yes, I think the answer is I think other species will be adopted based on pricing in the marketplace. Some of that's already happened over the last few years. You've seen a big transition of production further south and in Southern Yellow Pine production, and I expect that would continue to be the case if we start to see pricing of other species, I think the adoption rate would grow.
Reuben Garner: Okay. And then a follow-up on decorators. Whether it was in Q4 or throughout 2024, was there a noticeable difference in kind of the sell-through your customers were seeing and what you guys were selling into the channel? In other words, do you feel like they've destocked over the last year? What does the channel inventory look like today?
Will Schwartz: No. I can't really speak to any significant changes in that respect. The takeaway of our product is really good, and we're excited about the product and product mix. But, no, really can't speak to that change in a significant way.
Reuben Garner: Okay. And then last one, I'm going to sneak one more in on the CapEx side. Any material changes to the way you're thinking about that either near term or longer term?
Mike Cole: I'm sorry, Reuben. Can you repeat that one?
Reuben Garner: Yeah. On the capital expenditures side, any material changes into how you're thinking about investing, whether it be in the near term or longer term?
Mike Cole: No. We've kind of overweighted capital deployment for growth. And in the CapEx, commitment is as high as I've seen it in my career. Just lots of opportunities to expand existing facilities. The greenfield growth is very prominent. But also the efficiency and automation spend. And when I look at the numbers over the next five years, the commitments to $250 to $300 million. And so that's a really big piece too. So that's why the numbers are much more elevated than what we've seen in the past. And so I'm still very committed to that. The only thing to Will's point earlier would be, you know, when you look at greenfields in our core businesses, it's always possible to pivot to M&A. We haven't built that into the plan. We know we're going to deploy the capital, but if we see M&A opportunities, obviously, we prefer that to greenfield if we can. The opportunities need to be there.
Reuben Garner: Great. Thanks for the detail, and good luck, guys. Look forward to seeing you next week.
Will Schwartz: Thank you very much. Appreciate it.
Operator: Thank you. One moment for our next question. And that will come from the line of Jay McCanless with Wedbush. Your line is open.
Jay McCanless: Hey. Good morning, guys. Thank you for taking my questions. I guess the first one just to kind of talk about the cost saves and strategic review you guys highlighted last quarter. I guess is the $60 million in cost saves by year-end 2026, is that where the plan is now, or are there still some larger actions you guys could take under consideration?
Will Schwartz: I think that that's a constant evaluation. And we constantly look at it, and we are looking at it based on where business sets today. We'll continue to look for opportunities for efficiency gains, consolidations, SG&A savings. So that's an ongoing effort.
Mike Cole: Yeah. And so in my comments, Jay, you heard that we had around $41 million of actions we've taken that we think will be improvements to 2025. Right? So those have been identified. We're actively working on that, and most, not all of it, will occur in 2025. The $60 million we expect to get to by, you know, full year impact in, you know, 2026, have been identified, and as Will said, we'll be working hard throughout the year to try to make sure we're executing on those so we get the full year impact in 2026.
Jay McCanless: Great. Thank you. And then the next question I have on MH, sounds like things are going really well there. The industry had a very good year with shipments. So I guess what are you all seeing early first quarter? And broadening it out a little bit more, have you all seen any impact on concrete forming from some of these potential budget changes, things like that? So it's something we need to be thinking about on that line item.
Will Schwartz: Yeah. I'll start with the factory built question. We still believe this is going to be a promising spot for us. The affordability is certainly a challenge today, whether it's interest rate related or just cost of building, and we believe that's a place that'll continue to grow. Excited about it, continue to invest there. Secondarily, I think it's too early on that concrete forming question to realize any of that. So more to come in the future. Nothing to speak of today.
Jay McCanless: Okay. Great. Thanks, guys. Appreciate it.
Mike Cole: Thank you. Thanks, Jay.
Operator: Thank you. I'm showing no further questions in the queue at this time. I would now like to turn the call over to Mr. Will Schwartz for any closing remarks.
Will Schwartz: Thanks again for joining us on the call this morning. Despite an uncertain first half outlook for 2025, we remain committed to our strategies. Engrained in our culture, we use the term tough times, tougher people. We look at challenging periods as opportunities to prove what we're truly made of. Thank you for your investment in us, and have a great day.
Operator: This concludes today's program. Thank you all for participating. You may now disconnect.